- :
Operator: Good afternoon, ladies and gentlemen. Welcome to Tucows Inc., Fourth Quarter and Year End 2007 Conference Call. I would like to advise everyone that this conference call is being recorded and we will now turn the call over to Leona Hobbs. Please go ahead Leona.
Leona Hobbs: Thank you, operator. Good afternoon and thank you for joining us today. With me is Elliot Noss, our President and Chief Executive Officer; and Michael Cooperman, our Chief Financial Officer. Earlier this afternoon, Tucows issued a news release reporting our results for the fourth quarter and year end of fiscal 2007. The news release and other information are available on our website at about.tucows.com by clicking on Investors. Before we begin today, I would like to point out that the matters we will be discussing include forward-looking statements, and as such are subject to risks and uncertainties that could cause actual results to differ materially. These risk factors are described in detail in our documents filed with the SEC, specifically the most recent reports on Form 10-K and 10-Q. We urge you to read our securities filings for a full description of the risk factors applicable to our business. I would now like to turn the call over to Elliot.
Elliot Noss: Thanks, Leona. Good afternoon and thanks for joining us today. On today's call, I'll begin by reviewing the performance of our business in the fourth quarter and year ended December 31, 2007. Mike will then provide a review of the financial results before returning the call to me for a discussion of our growth opportunities. For 2007 Tucows achieved record revenue, growth and profitability, continued strong generation of cash flow from operations and a record deferred revenue balance. All while lowering our pricing for domain names and building our email systems. Revenue for the year grew approximately 15% over 2006 to $74.6 million. Adjusted net income for the year was $8.9 million compared to $5.8 million in 2006 representing a 54% increase. During the fourth quarter, we generated cash flow from operations of $2.7 million bringing us to $8.5 million for the year. Revenue for the fourth quarter was $18.2 million representing a 6% increase over the same quarter of fiscal 2006. Adjusted net income was $0.7 million. Now, I'll review the progress we have made in the various parts of our business. First it is important to note we have decided to change the way we categorize our lines of business. We have made these changes for a number of reasons; first the emergence of our domain portfolio as an anticipated high growth area of our business, second, the importance of email as a key driver of future growth, third the increased size of our retail business as a result of recent acquisitions, and fourth the de-emphasis of our software libraries. Each of these are trends that have been developing over the last couple of years. The four main categories that we will now use in all our public disclosures are as follows: Domain Registration, Domain Portfolio, Email Services and Retail and of course the balance of our products and services will fall under other. I’ll now review the progress we have made during the quarter in each of these lines of businesses. First Domain Registration, traditional domain registration encompasses all of our services related to the registration and renewal of domain names. Historically this has been the largest portion of our business. In addition, Domain Registration fuels other lines of businesses in two ways. First it is often the initial service for which a customer will engage us, enabling us to follow on with other services. Second, we are able to add to our domain portfolio by purchasing names registered through us once they expired. As discussed in 2007, we implemented a significant price reduction on Domain Registration, which impacted the growth of this line of business in the short-term. But we expect this will payoff and are continuing to see positive signs. While the price drop affected only our smallest customers, it seems to have been a signal of renewed competitiveness to larger potential customers. It has already provided some interesting sales leads. Our fourth quarter was the first full quarter with lower pricing and we are pleased to report we experienced higher transaction numbers, more new customer signups that had our highest renewal rates of the year at nearly 74%. Next our Domain Portfolio. This is the part of the business that has the most significant growth potential. Here we drive direct navigation revenue, advertising revenue, and revenue from the sale of names from the portfolio. This quarter, we are seeing the positive results of having changed advertising partners. For the last couple of quarters, I noted that we were disappointed with our Google Ad yields. In November, as I mentioned in the last call, we switched to a new advertising partner, which led to a revenue increase of over one third. It is important to note this increase was primarily the results of better yields. The Gem and Surname portions of our Domain Portfolio have not yet been optimized and over the coming months, we expect to improve performance there as well. We have also made great progress in developing tools for evaluating our inventory of domain names, which will help us to manage the portfolio more profitably, and to increase the number of transactions as well as improve our ability to have the right sales at the right prices. We believe we are one of the leading portfolios in the world. Please remember we pick up 6000 to 8000 more names each month from expiring domains. We made the decision two years ago to acquire expiring names that we believe add value. Our competitors primarily choose the option names at the time of expiry. Every quarter that goes by, it becomes clear that we made the right decision two years ago, as our portfolio increases in quality and value. In addition, the secondary market for domain names continues to become more efficient and we believe this will only improve as large companies accelerate their acquisition of high value domain names, as part of their core marketing strategy. At this time, the revenue from domain sales has not been consistent from quarter-to-quarter, but we expect that overtime this revenue stream will become much more predictable. The third line of business under our new disclosure format is our Hosted Email Service. During the quarter, we continue to make progress in migrating customers from the legacy system to our new platform. This is simply hard work and it's progressing, as it should. Our Webmail Client is on par with Yahoo, Google, and Hotmail, more importantly we are focused on making the customer experience superior. People simply do not need more features. They need better service. They need email to do what they want when they want. People need help when they have a crisis and with email simply not receiving a message or not being able to send an attachment are crisis. Tucows and our service provider partners are in a position to provide a far superior user experience than a mega portal. And as I said at last quarter's call, we have a tremendous sales team in place, which is excited to sell this enhanced service into our channel, and I'm pleased to report we are seeing customer wins and building a solid pipeline. Our fourth line of business is Retail, which has grown through some of our recent acquisitions. Our Retail division sells Tucows services to consumers and small businesses. We offer retail domain registration and other internet through domain direct. We offer personalized email through net identity. During the quarter, we completed the successful integration of the assets and customer base of IYD, the acquisition closed, I'll remind you in July. I'll go into more on the potential growth of this business, the Retail business later in the call. And with that I'll turn the call over to Mike for a detailed review of our financial results. Mike?
Michael Cooperman: Thanks, Elliot. As Elliot discussed at the offset of this call fiscal 2007 was a year in which we delivered strong financial performance not withstanding the unexpected yet critical investment in our email service as well as the change in the pricing model for our traditional domain registration business. Revenues for the year grew to a record $74.6 million. Adjusted net income increased by 54% to a record $8.9 million. Cash flow from operations remained strong at $8.5 million and our deferred revenue balance reached a record at $50.6 million. During the fourth quarter, we made progress with several informative initiatives that we believe will take our growth to the next level. With the migration process to our new email platform now well underway, we are now much closer to being able to reap the considerable cost benefits associated with not having to carry multiple systems at our data centers. Turning to the results for the fourth quarter, net revenue was $18.2 million up 6% from the fourth quarter last year. Cost of revenues including network costs for the fourth quarter increased by 17% to $14.1 million, largely as a result of the impact of the registry price increase in wholesale domain names, and/or booking $171,000 of recognized new costs in connection with our names portfolio. As a reminder from an accounting standpoint, when we add names to our portfolio, we defer the renewal cost at the time of purchase and amortize it ratably over the term of the renewal. Cost of revenues also included increasing network costs of $662,000 compared to the fourth quarter last year. The bulk of this increase was due to the additional cost burden we have had to carry with multiple systems at our datacenters. As I mentioned earlier over the next few quarters, we expect to see considerable cost savings from current levels, as we have begun the process of reducing our overall footprints at our datacenters. Gross margin for the fourth quarter was 23% compared to 30% for the fourth quarter of last year. The decrease in gross margin was the result of a combination of factors. Most important being the effective network cost and carrying multiple platforms, the increased cost associated with our portfolio of domain names and the impact of the price reduction on wholesale names. As part of our decision to move to disclose our revenue by line of business, as Elliot outlined earlier, we believe it will be beneficial to provide some gross margin visibility for each of these lines of business. Please note that for those of you, who would like more detail, we included a quarterly breakdown of both revenue and cost of revenue by line of business for the last two years in our fourth quarter press release. My comments here will be limited to the current quarter with the comparative figures for fiscal 2006. Gross margin from Domain Registrations for the fourth quarter decreased to $2.9 million from $3.3 million for the same quarter of fiscal 2006 and reflects the competitive nature of the Domain Registration marketplace. As Elliot mentioned, we are encouraged by the results we achieved in our first full quarter with the new pricing in place and expect to see a steady improvement in the dollar contribution from Domain Registration. Gross margin for the Domain Portfolio business for the fourth quarter increased to 700,000 from 500,000 for the same quarter of fiscal 2006 primarily a result of our large Domain Portfolio and the better yield we are receiving from our new advertising partner. Gross margin for Email Services was $1.4 million compared to $1.8 million for the corresponding quarter of fiscal 2006. The decline was primarily the result of our proactive sales effort having being placed on hold, while we completed the development of our new platform. As Elliot mentioned, our sales team reengaged during the fourth quarter and are working towards building a strong sales pipeline. Gross margin for the Retail segment of our business for the fourth quarter increased to $1 million from $600,000 for the same quarter of fiscal 2006. The increase here is primarily due to the acquisition of IYD in July of last year. The remainder of our gross margin falls into the other category and for the fourth quarter totaled $1.3 million compared to $1.5 million for the fourth quarter of fiscal 2006. Operating expenses for the fourth quarter decreased by 3% to $4.9 million or 27% of net revenue from $5 million or 29% of net revenue in the same quarter of last year. Looking at our operating expenses, going forward it is important to bear in mind that a large portion of our operating costs are incurred in Canadian dollars. To give you an idea of the impact this could have, if we assume that the Canadian dollar will remain more or less at parity with the US dollar through 2008 and Sony, as a result of the appreciation in the Canadian dollar, our 2007 operating expenses in 2008 would increase by roughly $1.5 million. Core operating expenses, which we define as those costs relating to ongoing sales, marketing, development and administrative costs decreased slightly to $4.3 million from $4.4 million for the fourth quarter of fiscal 2006. Core operating expenses as a percentage of net revenue decreased to 24% from 26%. Other operating expenses decreased by $113,000 to $525,000 compared to the fourth quarter of fiscal 2006. The result of a gain of $606,000 in foreign exchange being essentially offset by the following three factors; first as a result of the acquisition of IYD, we incurred additional transitional costs of $105,000 during the quarter, as we continue to transition portions of their platforms to our systems. Second, depreciation and amortization increased by $130,000 primarily, as a result of higher depreciation related to new computer equipment and higher amortization resulting from the IYD acquisition as well as the acquisitions we have made in prior years. And third during the fourth quarter last year, we reversed the contingency for some marketing programs that we had setup in prior periods of $238,000 that is no longer required. Adjusted net income for the fourth quarter was $660,000 compared to $1 million for the fourth quarter of last year. Net loss for the quarter was $935,000 or $0.01 per share compared with net income of $156,000 or less than $0.01 per share for the corresponding quarter over last year. Turning to the balance sheet, cash, short-term investments and restricted cash at the end of the fourth quarter compared to the end of the fourth quarter last year increased by $800,000 to $8.1 million from $7.3 million and increased by $1.9 million, when compared to the third quarter of this year. This increase in cash primarily resulted from generating $2.7 million in cash flow from operations during the quarter. This was partially offset by investing $315,000 in acquiring additional computer equipment and in our paying $479,000 over our credit facility with the Bank of Montreal in accordance with the terms of the loan. I'd also like to note that outside of a minor use of $133,000 to fund cash flow from operations in September 2006 quarter, this was our 25th consecutive quarter of positive cash flow from operations. Deferred revenue at the end of the fourth quarter grew to a record $50.6 million, up 12% from $45.1 million at the end of the fourth quarter of fiscal 2006, and up 2% from $49.8 million at the end of the third quarter of this year. As noted last quarter, I'd like to reiterate that the negative impact on deferred revenue that we will experience from the price reduction on the wholesale domain names will be partially offset by the additional contribution to deferred revenue on the IYD acquisition. I'd now like to turn the call back to Elliot.
Elliot Noss: Thanks Mike. As I said before, we are extremely pleased with the progress we made during the fourth quarter. While we experienced some challenges during 2007 our business is solid and we made a number of strategic decisions to better position the company for continued long-term growth. And even with those challenges, we were able to deliver record revenue and cash generation. We believe in 2008 all of these positives will accelerate these trends. Our growth plan is simple. We plan to unlock the value already present in our business. Our goal is to drive growth from within the business. Through a variety of new initiatives in our four key lines of business, we believe we can drive increased revenue per user within our current customer base. In addition, of course, we will continue to add new customers based on our unparallel knowledge of service providers and industry leading customer service. I will go over in more detail, how we plan to do this in 2008 and beyond. Domain Registration continues to provide us with a strong base of revenue. And as I mentioned before is a great driver of new customer relationships. In 2008, we expect this business to continue to grow and feed into our other businesses. Using IYD as a model, we expect to launch a hosted storefront option that will make us much more attractive with very small resellers looking for simple and easy options for selling Tucows service. We also planned on making fundamental enhancement for the user experience for our customers and their end users alike. As I said before, we see tremendous value in our Domain Portfolio. First, we believe we will see accelerated growth driven by higher ad yields on our growing inventory of direct navigation names and our re-launched Parked Pages Program. Second, our new tools, which allow us to grade and segment our inventory of domain names, will enable smarter decisions in domain transactions and therefore more and more profitable transactions. Third, we are seeing traction in the sales of our brandable names at higher prices often in excess of $10,000. We are not breaking out the sales of this type at this time. But the traction is there and we believe it will continue. Finally, we expect to continue the sale of domain assets in bundles that we commenced last year. We are very focused on increasing the number of transactions across all of these segments. We expect the Domain Portfolio to be our fastest growing line of business and to grow as a percentage of our total business. In our Email business, we expect our recent and coming enhancements in a high level of customer service provided in combination with our resellers to drive increased adoption. As we all know, Email remains the most important web service. When our resellers outsource their email to Tucows, they are able to avoid the headaches that come from managing their own email service and then able to focus on other elements that are truly important to their customers. In addition, the headache of managing their own email service becomes greater every quarter, as storage, anti-spam and web mail demands from the users increase. As I said before we have a strong sales pipeline and our sales force is energized. Just this week, we re-launched our anti-spam service and we will again be offering this on a standalone basis. We expect this to be an important gateway offering for service providers, who are not yet ready to outsource their complete email business. Later this quarter we expect to launch our personal names service based on the surname portfolio we acquired from NetIdentity. We believe this will take our email business to the next level. The internet continues to become a more central part of people's lives. Things like online banking, facebook and Google map have fundamentally changed the role that the web plays for people, yet the way people use domain names and email is essentially the same. In 2008, this will start to change and personal names will be an important part of this. In the Retail business, we are working on enhancing and unifying the three existing retail sites two of which have come to us through acquisitions. In 2008, we will bring all of these customers under a single brand with a much improved customer experience. We will be taking three older properties and benefiting from current tools and technologies to improve retention and new customer sign ups leading to improved growth and profitability. In regard to our other de-emphasized businesses such as our content business, we are exploring strategic alternatives to maximize their value to the company and to the shareholders and we'll discuss developments in this regard as appropriate. In summary, just as the internet is always progressing and growing so is Tucows. We continue to enhance and improve all of our services to build growth from within our current customer base as well as to grow that customer base. We expect 2008 to provide solid growth over 2007, as our many new initiatives gain traction and our email system investment is finalized. We will continue to be innovative with our Domain Portfolio and in pushing the boundaries of this emerging market. All of this is with an eye towards increasing our cash generations. We will look to use our cash to pay off debt as well as buyback our shares. As we believe, our stock represents tremendous value at current levels. In short, we are focusing on unlocking the value of our business for shareholders. With that, I'd like to turn the call over to the operator for questions. Operator?
Operator: (Operator Instructions) Your first question comes from Thanos Moschopoulos from BMO Capital Markets. Please go ahead.
Thanos Moschopoulos - BMO Capital Markets: Hi, good afternoon.
Michael Cooperman: Hi, Thanos.
Thanos Moschopoulos - BMO Capital Markets: Elliot, just starting off with the question on the revised segmentation, the other category is almost entirely the content business, or is what else would be in there?
Elliot Noss: No, there is also the search business and the other [VSSL] business.
Thanos Moschopoulos - BMO Capital Markets: Right.
Elliot Noss: The billing business and then a few other names.
Thanos Moschopoulos - BMO Capital Markets: Okay. Could you say the majority is the content business, or not even, no?
Elliot Noss: When you say the majority, it would be a big chunk of it. But no, I mean, both the search business and the billing business are seven figure businesses. The reason that we are putting them in there is because we really want to make it easier for investors to kind of focus on the key lines of business. When we originally sort of use that categorization of other internet services starting three four years ago now, and probably back in 2003, we had a view that certainly that it was important to diversify away from domain registration revenue and that diversification would come from a number of different services. As it’s evolved really that's primarily email especially when you take domain portfolio and retail and look at them separately. So, it's really just sort of trying to make it easier for folks like you to follow the business.
Thanos Moschopoulos - BMO Capital Markets: Okay and I appreciate that. We appreciate the increased data specifically too on the cost of good side. I guess on the premium domain side of things, how do we think about growth as far as sequentially should that be sort of linear or it's going to be just very lumpy as some of your initiatives kick in? I guess this is probably very hard from modeling perspective but if you can provide any color around how you think that might evolve?
Michael Cooperman: Yeah, so I think there are probably two comments I make there. One certainly for the next, I'd say four to six quarters, I'd try and look at what that a trailing four quarters number is.
Thanos Moschopoulos - BMO Capital Markets: Okay.
Michael Cooperman: I think that will be an easier way to follow it rather than kind of a quarter-on-quarter or even quarter to the previous year. And the reason I say that as if you have that $3 million sale like we did in the second quarter of last year it's going to skew that analysis. So, we are really very focused in turning those $3 million lumpy sales into much more repeatable sales, and by the way, the buyers in the industry are quite open to that. But both us and the buyers are blazing new trials, so that's going to take some time to play out. So, I think certainly for the next four quarters that's probably the way I look at it and I think we are all motivated to have this be a little bit more smooth.
Thanos Moschopoulos - BMO Capital Markets: Okay. And would you say that sale of that magnitude would not be an operation that -- we could be looking potentially at other sales of that size in one bundle?
Michael Cooperman: I'd say my preference would be to have the absolute levels over the course of a year certainly higher than that. But I probably rather have three separate million-dollar sales than one $3 million sale. Just from the smoothness perspective, I'd like to get, and we are trying to and working again to just get some pretty regular rigor into this stuff. The buyers on the other side of U.S. dollars tend to be -- it's not sort of typical domainers it tends to be professional money and professional money likes rigor probably more than we do.
Thanos Moschopoulos - BMO Capital Markets: Great.
Michael Cooperman: Yes. We think folks are opened to that approach.
Thanos Moschopoulos - BMO Capital Markets: Okay. I missed the numbers that Mike gave early as far as your renewal costs in the quarter.
Michael Cooperman: Say that again.
Thanos Moschopoulos - BMO Capital Markets: The renewal cost on your domain portfolio, was that $171,000 or was it?
Michael Cooperman: That's right.
Thanos Moschopoulos - BMO Capital Markets: Okay. As far as one-time cost in the quarter, that was essentially the $606,000 Forex gain in the $105,000 transitional cost; would that be by far as the onetime cost?
Michael Cooperman: Yeah, that's pretty much it; I think you've hit on all of them, yes.
Thanos Moschopoulos - BMO Capital Markets: Okay. And then from a foreign exchange perspective, what does your forward position look like at this point?
Michael Cooperman: At this stage we do not have any contracts in place and we are evaluating that as we speak.
Thanos Moschopoulos - BMO Capital Markets: Okay.
Elliot Noss: I think it's a pretty dynamic situation and you know maybe offline we’ll give you our views.
Thanos Moschopoulos - BMO Capital Markets: Okay. So, that would imply though that since the forwards came off, we are going to see sequential increase in OpEx, just reflecting where the current spot rate is?
Michael Cooperman: Yeah….
Thanos Moschopoulos - BMO Capital Markets: Yeah.
Michael Cooperman: The $3 million and the Canadian dollar, I wanted you to be cognizant of it.
Thanos Moschopoulos - BMO Capital Markets: Great, okay. As far as the re-launched anti-spam service and then your comment that you will be re-launching the surname business; can you provide just a bit of color as to what's new there?
Elliot Noss: Sure. So, you may or may not remember that back around the second quarter, we had some problems in the anti-spam business. And frankly it was something we were all unhappy with and embarrassed about. We pulled back from them and we said you know what, let's just do this right. And we had built, if you went back to kind of late '06, we've actually built the national anti-spam business. And we -- again as I discussed in the second quarter last year, pretty much blew that up, and it was a real shame. So, what we've now done is we have re-launched it. We launched it appropriately. It beautifully integrated with the new email platform. So, that if you are an anti-spam customer you are actually using virtually identical interface, web interface to check your junk folder. In order to check if there is both positive, there are report things etcetera, which makes the move from kind of that anti-spam to becoming an email customer very, very easy and very famous. You'll be in a very familiar environment. So, we really like what we've done there and the filtering is performing very well. When it comes to the surnames, that wasn't a re-launch; that's a launch. So this is the first time when we do this, which should be in this quarter that we'll be making those surnames the firstname@lastname.com email address or first name.lastname.com web space available at a wholesale level.
Thanos Moschopoulos - BMO Capital Markets: Okay.
Elliot Noss: We are really -- we've been very excited about making that available across all of our customers.
Thanos Moschopoulos - BMO Capital Markets: Okay, so that's the launch through the channel, okay, I got you.
Elliot Noss: Yeah.
Thanos Moschopoulos - BMO Capital Markets: Okay. I think, the one another question I have -- the ICANN rules, the change in domain testing -- no real impact to you guys, is there?
Elliot Noss: No.
Thanos Moschopoulos - BMO Capital Markets: Yeah. I didn't think so.
Elliot Noss: No. And we kind of apply that move probably down in India next week and I'll be very public about my support for it.
Thanos Moschopoulos - BMO Capital Markets: Great, okay. Thank you.
Elliot Noss: Thanks.
Operator: Your next question comes from Aram Fuchs from Fertilemind Capital. Please go ahead.
Aram Fuchs - Fertilemind Capital: Yeah. I was wondering, if you could talk email tend to be very sticky, which is a good thing for customer attention, but a bad thing for sales. How do you really overcome the fact that the switching costs are pretty high, especially to your customer and to the end customer?
Elliot Noss: Yes. So remember that for us when we are going to be replacing an in-house email system there really is no new customer to win. So for the bulk of our customers they are providing email today. They are giving it away to their customers as part of a bundle and their customers are not using it. So, all we're doing is we're putting them in a position, we think at least sort of cost parity, and often it will be even less expensive to outsource to us since they run it themselves, that will put our customers, the service providers, back in a position to get the end users that will be using their email. So, there is no -- the switching there if somebody is running an in-house system, Aram, and we are actually migrating it, so, they have IMAP stores. They are migrated. Their users go to sleep one night. They wake up one morning and it’s new web mail and it's all the same IMAP store. So, that is relatively famous. We don't need that kind of, and you're right at an end user level it's a very difficult thing. And we also think that five years ago, six years ago, well I remember really clearly the first deck I ever kind of spoke to investors about the domain registrations I'm going back to now March of 2000. I remember one of the questions, I would get would be, who is going to buy all these domain names. Where's all this growth going to come from? And I'd show people that there were businesses, there were lots of them in 2000, who would be real professional businesses, who would buy a full page ad in Time Magazine or some other very expensive piece of advertising at the bottom of the ad would be companyname@hotmail.com. And I'd pull that ad out and I'd say this is embarrassing to me today and I promise you that two, three, four years ago no self-respecting company will ever have something like this on an ad. I think that we're going to see the same kind of migration around people and personal use. And I think that five years from now individuals will have that same identity on the internet that we saw that company migration happened. And boy, all that's going to change the way that email is used.
Aram Fuchs - Fertilemind Capital: Right.
Elliot Noss: I hope that wasn't too long to answer to the question, Aram.
Aram Fuchs - Fertilemind Capital: Yeah, okay. And your optimism based on your strategy -- I'm curious that your optimism on the strategy of owning the domain. The public markets have really not given prudence of strategy they're Tucows or you can you look at [Marjacks], just about sign below it, its cost and its massive domain portfolio. So, one, I'm wondering why you are so optimistic? And two, sometimes brought up in the past. It would be great if you can give -- I appreciate the detail on the business line items, it will be great for you to give detail on the balance sheet the domain portfolio that you own beyond the surname?
Elliot Noss: I just want to understand that last bit, are you saying to provide some visibility into the portfolio?
Aram Fuchs - Fertilemind Capital: Yeah, we want to know what properties do you actually, what domains you own?
Elliot Noss: Yeah. So, let me kind of -- I will take the second one first. I agreed and we will. Let me make that real simple.
Aram Fuchs - Fertilemind Capital: Okay.
Elliot Noss: And happy to kind of get with you offline and talk about what you would like to see.
Aram Fuchs - Fertilemind Capital: Okay.
Elliot Noss: You said why so optimistic, market still seems to be rewarding. You know what I think that I will speak to both of those issues. You talked about us. You talked about [Marjacks]. I think what Marjacks I don't believe if that is about valuing the portfolio. I don't want to -- I think that their positioning was very much around a bunch of other things other than their portfolio. And boy, I'm not familiar enough to with it to say it's valued or not. But I definitely I haven't seen their positioning as being portfolio centric at all. I think it's very much kind of advertising centric and much broader in the way they are positioning it and kind of their direct navigation revenues. And with us, I just don't think people know we own, Aram. And I think that goes to your second point but I -- why isn't the market given us any credit because I don't think the market realized this. And that's a big part of what we are trying to change here with the change in reporting, with the change in disclosure and with the way that I'm talking about it.
Aram Fuchs - Fertilemind Capital: And, but the optimism, is it based on cash flow you are seeing from that portfolio?
Elliot Noss: At the end of the day, we are going to be judged by the cash we generate. So, I think these things are incredibly lucrative.
Aram Fuchs - Fertilemind Capital: Right, okay. And then the strategic alternatives for the content business and how far long and where, I know you agreed on what you can say but maybe just give us a little more color on what you thought -- with what you feel comfortable?
Elliot Noss: I think that the Tucows software libraries still the second largest distributor of software on the internet a great hold property with some fantastic search engine juice a bunch of other things, loyal customer base there is a great asset there. And just where the business is, we just think that they are probably more valuable in somebody else's hand than ours and that's the way that things evolve. How far along are we in the process? I think I'd say, boy, not a year has gone by when I haven't had interest in the property for many number of people, sometimes with the same people over and over. So I'm very focused on unlocking value. I think that when I talked about unlocking value, I think we have assets not just the content business that not only are unrealized but the market doesn't give us credits for. And I'm really, really head down around dealing with that.
Aram Fuchs - Fertilemind Capital: Great, thank for your time.
Elliot Noss: Thanks.
Operator: Your next question comes from Warren Derelick from Morgan Keegan & Company. Please go ahead.
Warren Derelick - Morgan Keegan & Company: Hi, Elliot.
Elliot Noss: Hi, Warren.
Warren Derelick - Morgan Keegan & Company: I guess, I'm listening to that list, the best way of quantifying some of these hidden values is I guess by just some of these things occurring and you are highlighting sometime in '08 some of these will get more disability B021 1:49 on those type transactions?
Elliot Noss: Yeah. I think when you are on my side of the table you always wish it was yesterday and like anything it's about the right match between buyer and seller. I think I'd be disappointed if nothing happened with these assets in '08. I'm pretty comfortable that's not something I'm going to have to worry about. At the end of the day I'd also be really clear though that we are in a great position as far as seller goes. We've got some valuable things that we don't have a gun to our head about selling. We don't need to sell them to anyone funds the business sort of deal with our debt or so there is no -- we're doing it because it's about unlocking shareholder value, not because we need the cash. So, if we can't find the right buyers, we won't do anything. All that being said, I'd be surprised and a little bit disappointed if something didn't happen this year.
Warren Derelick - Morgan Keegan & Company: And can you give any guidance in light of revenue earnings cash growth for '08 or specific to the first quarter and beyond? I think last year you gave some general guidance that helped. Are you not emphasizing those areas to look at as much as some of these more tangible values that you are trying to realize?
Elliot Noss: It's less about that. I think the reason we would have never given guidance historically and the only reason that I did last year was because I wanted to kind do a little bit of a math for people around some of the acquisitions we've made. The only guidance I'll give you here around revenue, cash flow and what was the third thing?
Warren Derelick - Morgan Keegan & Company: Earnings.
Elliot Noss: Earnings -- they all will be up. I'm real comfortable going there. At this point, we're not saying anymore. I think you will be happy with all of it.
Warren Derelick - Morgan Keegan & Company: Thank you.
Elliot Noss: Thanks, Warren.
Operator: (Operator Instructions)
Elliot Noss: Okay. Thanks very much operator. We will see you all again next quarter.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.